Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Tempur Sealy Third Quarter 2019 Earnings Conference Call. [Operator Instructions].I would now like to hand the conference over to your speaker today, Aubrey Moore with Investor Relations. Please go ahead, Ma’am.
Aubrey Moore: Thank you, Operator. Good morning, everyone, and thank you for participating in today's call. Joining me in our Lexington headquarters are Scott Thompson, Chairman, President and CEO; and Bhaskar Rao, Executive Vice President and Chief Financial Officer. After prepared remarks, we will open the call for Q&A.Forward-looking statements that we make during this call are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that these forward-looking statements, including the company's expectations regarding sales, earnings, net income and adjusted EBITDA and anticipated performance for 2019 and subsequent periods, involve uncertainties. Actual results may differ due to a variety of factors that could adversely affect the company's business. The factors that could cause actual results to differ materially from those identified include economic, regulatory, competitive, operating and other factors discussed in the press release issued today. These factors are also discussed in the company's SEC filings, including, but not limited to, annual reports on Form 10-K and the company's quarterly reports on Form 10-Q under the heading “Special Note Regarding Forward-Looking Statements and/or Risk Factors”.Any forward-looking statement speaks only as of the date on which it is made. The Company undertakes no obligation to update any forward-looking statement.This morning's commentary will include non-GAAP financial information. The press release contains reconciliations of this non-GAAP financial information to the most directly comparable GAAP information, except otherwise discussed in the press release as well as information regarding the methodology used in our constant currency presentations. We have posted the press release on the company's investor website at investor.tempursealy.com and have also filed it with the SEC. Our comments will supplement the detailed information provided in the press release.And now with that introduction, it is my pleasure to turn the call over to Scott.
Scott Thompson: Thank you, Aubrey. Good morning, and thank you for joining us on our 2019 third quarter earnings call. I'll start with comments on the quarter's operating performance, then Bhaskar will review our financial performance in detail. Finally, I will conclude with an overview of our long-term corporate initiatives and some thoughts on capital allocation and current trends.The third quarter of 2019 was outstanding, with growth across all three of our regions. North America, Europe and Asia-Pacific. In fact, this quarter was the best quarter in the company’s history.We're pleased to report as compared to last year, sales and earnings grew double-digit. Our leverage growth declined, and we repurchased 50 million of common stock during the quarter. We had a strong conversion to cash and there were no one-time adjustments in EBITDA.Turning to the reported results for the quarter. Net sales increased 13%, adjusted EBITDA increased 17% and adjusted EPS increased a very robust 28%. This marks the sixth consecutive quarter of adjusted EPS growth. The positive results were broad based, with brand, channel and geographic perspective demonstrating the strength of the company's competitive position around the world.The last few quarters demonstrate our ability to navigate regional economic uncertainty and take advantage of the changing bedding market. In North America, we are excited to start our new relationship with Big Lots and Mattress Firm. During this quarter, we completed the rollout of Sealy products at Big Lots and subsequent to the end of the quarter we began shipping products to Mattress Firm.During the third quarter, these accounts did not contribute to earnings, and in fact we experienced 5 million of inefficiencies as we ramped up staffing for our new business and expanded our quality control procedures, both new accounts are expected to positively impact our operations starting in the fourth quarter of 2019.I'd like to highlight three items from our third quarter results. First, as I mentioned, global net sales grew 13% for the third quarter versus the prior period with broad base increases in demand, above our expectations for both Tempur-Pedic and Sealy all around the world.Looking internationally, net sales grew 8% on a constant currency basis. We experienced a degree of market uncertainty in the U.K. France, Hong Kong, and China, which created choppy business conditions. Despite these countries specific issues, the international team delivered a solid performance.In North America, we grew sales a robust 15% in the quarter, with both Tempur-Pedic and Sealy growing double-digits. As a reminder, this quarter had no new products and no significant changes in distribution for the Tempur-Pedic brand.Rollout of the new Tempur-Pedic product lines were complete in the second quarter, and new significant distribution gains for Tempur-Pedic start shipping in the fourth quarter of 2019. We believe Tempur-Pedic continues to take market share in the premium price band. I should also note that we improved our product mix as our high end TEMPUR-Breeze products continued to gain momentum.Turning to Sealy’s performance in North America, we are very pleased to see continued sales momentum, while at the same time we also successfully expanded our distribution. The combination resulted in outstanding sales growth in the quarter. Our focus on internal initiatives to deliver the highest quality product and the highest level of manufacturing reliability and customer service continues to be the reason that existing retailers lean into our portfolio of products.We also believe the recently enacted anti-dumping case duties against China manufacturing benefited all U.S. bedding manufacturers. Our North America operation team has evaluated our near, and long term opportunities with Sealy and Stearns & Foster. The results of which are that we expect to open one new state of the art Sealy plant in Texas in late 2020. Although we currently have adequate capacity to serve the market, we believe, we have long term upside in these brands, and this plant will support our higher volume of units we expect across the U.S. network.The second highlight from the quarter was the over 60% growth in our global direct channel. International direct grew 21% on a constant currency basis, with growth both in e-commerce business and our company owned stores. In North America, the direct channel almost doubled year-over-year and grew over 30% excluding the acquired Sleep Outfitters stores.We opened our 50th Tempur-Pedic retail store during the quarter, and we expect to open a handful more by the end of the year. As we said previously, we can see the Tempur-Pedic retail stores over the long term being 125 stores to 150 store opportunity. Stores open more than a year had very strong same-store sales at over 20%. It's worth noting that same store sales growth does not include our e-commerce channel.Our direct-to-consumer online channel also had solid double-digit growth. It is clear that our direct-to-consumer business is significantly outperforming the average disruptor brand in the U.S. market, both in sales growth, and more importantly in real, sustainable profits and cash flow.The third highlight for the quarter is it reported the highest quarterly gross profit in the company's history at $361 million. The cumulative growth from our direct channel, a higher product mix due to the success of our premium price, Tempur-Pedic and Stearns & Foster products and unit volume increases resulted in gross margin leverage. This quarter's reported gross profit is greater than the gross profit we generated back in 2016, when we had higher total sales, and are bedding products were sold through a greater number of third party retail doors, including Mattress Firm.Over the past few years, we've developed new innovative products, invested in our operations, and diversified our go-to-market strategy, all to deliver healthy gross margin expansion and broad based sales growth.Our competitive position has never been stronger. On top of this momentum, we are thrilled to have improved our wholesale distribution in North America, by recently entering into a new win-win supply agreement with Mattress Firm, which we believe will benefit both companies and the U.S. bedding business as a whole.Before turning the call over to Bhaskar, I want to mention that two members of our executive team will be taking on new reduced roles starting in 2020, as they transition towards retirement. Rick Anderson, EVP, President in North America, and Carmen Dabiero, SVP of Human Resource.I want to thank them for their many years of contribution to Tempur Sealy. We've been preparing for these transitions for several years, and I'm very confident in our succession plan. Both executives have built a strong team; an internal leadership is in place to ensure continued performance.With that I'll turn the call over to Bhaskar to walk you through the financial results in more detail.
Bhaskar Rao: Thank you, Scott. Before going into the details of the quarter, I would like to call out a few highlights outside of those previously mentioned. As compared to the prior year, adjusted gross margin increased 160 basis points to 43.9%. Adjusted operating margin improved 130 basis points to 14.7%. Adjusted EBITDA increased 17% to $150 million, and adjusted earnings per share for the quarter was $1.30 an increase of 28% versus the prior year. This was driven entirely from operating performance versus share buybacks.Turning to North America, First I would like to discuss some financial reporting reclassification. As previously announced, we have acquired Sleep Outfitters, which was fully integrated into our North American direct channel during the second quarter. Sleep Outfitters had historically been part of our wholesale channel, since they were previously a third party retailer.Accordingly, this impacts our growth rates within both channels. North American net sales increased 15%. On a reported basis, the North American wholesale channel increased 9% and the direct channel increased 89%. Excluding sleep outfitters, the wholesale channel increased 11% and the direct channel increased 37%. The sell in a big loss contributed several points of growth to our Sealy business in the quarter.North American gross profit margin improved 220 basis points to 42.1% as compared to the prior year. This was primarily driven by improved, temporary merchandising mix, pricing benefit and favorable commodities. As expected, our gross profit margin was impacted during the quarter. We took incremental steps to ensure the highest product quality and great customer service to all, ahead of the expected higher volumes from the new distribution.And as Scott mentioned, this resulted in inefficiencies of about $5 million in the third quarter, and was not treated as an adjustment to our reported results. North American operating margin improved 170 basis points to 17.6% as compared to adjusted operating margin in the prior year.This was primarily driven by improved gross margins partially offset by higher variable compensation. Turning to international, net sales increased 4% on a reported basis. On a constant currency basis, international net sales increased 8%. The direct channel increased a robust 21% and the wholesale channel increased slightly.As Scott noted earlier, we experienced a degree of market uncertainty in specific geographies and thus we expect sales growth to decelerate in the fourth quarter. As compared to the prior year, our international gross margin improved 10 basis points to 53.1% and operating margin was stable to prior year at 19.6%.Turning to the company's global performance, operating income was $121 million and adjusted EBITDA was $150 million up $22 million from last year. The increase in EBITDA was primarily driven by pricing benefits, higher volume and favorable commodities. This was partially offset by higher variable compensation as we are performing a good bit over target, inefficiencies as we ramp up the new distribution and innovation investments.Regarding commodities. Input costs were in line with expectations for the third quarter. However, we have seen those trends improve and now stabilize. We now expect a few million dollars of incremental benefit in the fourth quarter. The tax rate was 26% down from 28% in the prior year, and interest expense was $21 million also down from the prior year. All of this resulted in adjusted EPS for the quarter of $1.30 up 28%.Now moving to the balance sheet and cash flow items. We generated record operating cash flows from continuing operations of $156 million in the third quarter. Cash cycle was unfavorable by 11 days compared to the third quarter of 2018. This was principally driven by higher inventory levels to support our launch with new distribution.I'm pleased to highlight that we recently completed the amendment of our credit facilities. This refinancing reflects our success in strengthening our global competitive position, our successful expansion into direct-to-consumer business and recent market share gains in North America. This transaction increases our operating flexibility, extends our debt maturities and represents the lowest interest rate spread on a like-for-like basis in the company's history.This is a direct reflection of our powerful omni-channel strategy and our disciplined capital allocation approach. At the end of the third quarter, net debt was $1.5 billion down from the second quarter of 2019. Our leverage ratio under our new facilities came in at 3.2 times down from four times reported for the third quarter of last year.I'm pleased to highlight that we lowered our financial leverage a good bit, while also buying that stock.Turning to guidance, we have raised our 2019 guidance. We now estimate our adjusted EBITDA to be between $485 million and $500 million. This raises the midpoint by $28 million. This increase of the midpoint is driven by the over performance of our North American business during the third quarter, and the more favorable outlook in the timing of our launch and back stock selling with Mattress Firm. This will be partially offset by increases in variable compensation.The launch with Mattress Firm is ahead of our initial expectations and is expected to result in a sales lift in the fourth quarter, partly from discounted floor models. In the first quarter of 2020, we anticipate seeing initial signs of what the steady state business would look like related to volume and product mix.Lastly, I would like to flag a few items for modeling purposes. For the full year 2019, we currently expect D&A to be between $115 million and $120 million. Total CapEx to be about $80 million, which includes maintenance CapEx of $60 million and investments in ERP upgrades.Interest expense of $85 million to $90 million, a tax rate to be between 27% and 28% and a diluted share count of 56 million. Please note, the above items consider the impact of our announced share repurchase plan.With that, I'll turn the call back over Scott.
Scott Thompson: Thank you, Bhaskar. Great job. Now turning to the company's long term initiatives. I'll start with optimizing our powerful omni distribution platform to be where customers want to shop. Earlier this year, we announced two material wins in distribution with Big Lots and a new agreement, the Mattress Firm. The third quarter was the largest expansion of doors in a single quarter in the company's history, which we expect to top with even more stores during the fourth quarter with the launch of Mattress Firm.The integration and coordination with both of these organizations people has been phenomenal. As we look forward, we continue to expect these expansions in distribution to generate in excess of $400 million in incremental sales, and $75 million to $100 million in incremental EBITDA. As a complement to our material wins in our wholesale distribution, our direct channel continues to expand rapidly. We continue to see robust year-over-year sales growth through online sales growth, same-store sales growth and expansion of our company-owned stores [ph].Let me add a few comments about the online marketplace in general. We find that consumers are more digitally savvy than ever. While the majority of customers want to visit stores to touch and feel the product, they frequently start their shopping experience online before entering a retail store. We've made adjustments to our strategy and expanded our reach online in four ways to complement our presence in the market.First, is our own Tempur-Pedic.com side. We identify this as a strategic opportunity in 2016, which we then grew and expanded sales on Tempur-Pedic.com by over 300%. These sales have driven incremental profit and support material online advertising. The fact that more consumers are willing to purchase a bit online has been a positive trend for this segment of our business.Second, is our focus on a Web based third party retailers. We have a dedicated sales team, who focus on e-marketplace sales growth. While still in the very early stages, we've experienced significant growth while maintaining stable profit margins similar to the fleet average. Third, is helping our traditional third party retailers expand their brand presence online.Our Retail Edge program has been a key initiative for our sales organization to connect the findings from millions of hours of consumer research into actionable insights for our dedicated retail partners. These investments are not insignificant and are consistent with our passion to help our third party retailers be successful.And finally four, our expanded offerings that can be easily shipped and delivered to consumers doors, no matter what price point or channel a customer wants to shop, we have a compressed product that meets their needs. We do not direct customers towards any particular channel. We just want to be wherever the customer wants to shop.My last comment on our omni channel approach relates to Sleep Outfitters. I'm pleased to report that Sleep Outfitters, which was acquired earlier this year has made significant progress in revitalizing their business, and are ahead of planned.In summary, our direct channel is outperforming the market. Now our next long term initiative developed the highest quality bedding product in all the markets we serve. Our premium products in North America have gone through a transformation over the last two years.We have new product lines in our Tempur-Pedic and our Stearns & Foster brands, which have significantly grown our market share in the most profitable segment of the industry. I'd like to highlight the breadth and depth of our worldwide research, development and quality testing departments.We've combined these assets with a modern insight department that minds consumer data to keep Tempur Sealy at the forefront of innovation. Our commitment to relentless focusing on what matters the most to consumers has been recognized.Our commitment to relentless focusing on what matters the most to consumers has been recognized. As disclosed yesterday, Tempur-Pedic was awarded number one in customer satisfaction, retail mattress segment in J.D. Power’s 2019 Mattress Satisfaction Report evidencing the success of our products and delivery on our commitment of exceptional sleep.Turning to our next initiative, promote our worldwide brands with compelling marketing. We invested significant marketing dollars in the third quarter as we supported our retailers and our new product portfolio.In 2020, we anticipate significantly increasing our advertising on a dollar basis. In fact, we expect a record amount of advertising spend for Tempur-Pedic, and Stearns & Foster brands in 2020. More important than the total spend though we continue to strive for efficiency in reaching customers with the right message at the right time and in the way they want to engage media. I'm sure, I'll get a question on this. So let me go ahead and address it now.As previously announced, we extended our 2019 Labor Day promotion by one week. This extension enabled all mattress shoppers nationally to take advantage of our promotion, but was targeted at those who were planning to purchase a mattress over the years largest holiday weekend, and were impacted by the weather challenges along a significant portion of the East Coast preventing them from successfully shopping and benefiting from Labor Day promotions.While the result of this extension was immaterial to our business, we were happy to successfully support retailers in this unique circumstance, a hurricane during the industry's largest promotional period of the year. Our last long term initiative is drive increased EBITDA. Over the past several years, we've been resetting the foundation of the company by investing in many areas of our business, including product innovation, manufacturing optimization, marketing, building our direct channel, and most importantly investing in our team. We're seeing the benefits of these efforts, which we believe will continue to deliver above market performance.Turning to capital allocation, we remain committed to investing capital and opportunities with the highest return on invested capital, while balancing our leverage ratio. Currently, we expect to generate cash in excess of our businesses needs, and thus we expect based on current conditions to repurchase approximately 50 million of our shares each quarter in the near term, based on today's stock price that is about a 4% return based on our market capitalization.Capital allocation is a topic at every board meeting. We recognize, we have the ability to repurchase stock at more rapid pace, but currently believe our consistent measured repurchase pace is appropriate as we maintain future optionality. We expect to update you on our thinking during future calls.Lastly, before opening the call up for questions, I'll turn to current trends. North America, it’s current trends are in line with our expectation and guidance with both brands expected to grow significantly during the fourth quarter. As a reminder, Tempur-Pedic’s U.S. sales had strong growth in the back half of 2018. So we have a difficult comp, but we expect to benefit from new distribution in both Tempur-Pedic and Sealy brands.We're in the process of flooring and selling in back-stock both of which will impact the fourth quarter. International has started the quarter in line with our expectations, although slightly less robust than the third quarter we're reporting today.With that operator, please open the call up for questions.
Operator: [Operator Instructions] Our first question is from Michael Lasser from UBS. Your line is now open.
Unidentified Analyst: Good morning. This is [Indiscernible] filling in for Michael Lasser. Thanks a lot for taking our questions. So you beat consensus EBITDA by $9 million in the third quarter, but raised the full year guidance by $28 million. So is it fair to assume that the $20 million or so of Delta is being driven entirely by favorable expectations on the macros from launch, and with production to the timing of the launch, can you provide a sense of what's baked in the guidance? What was baked into the guidance earlier versus what is baked into the guidance now? Thank you.
Scott Thompson: Yes, this is Scott. Let me start, then I'll pass it off to Bhaskar. No. The answer to your first question, no. The raising guidance has a lot more to do with the underlying demand that we're seeing in the core business. There is some change in the thinking of the launch timing Mattress Firm and that we are a little bit ahead of our expectations originally. But the majority of the raise has to do with the broad base improvement we're seen in the-- in the business primarily in the U.S. And as we mentioned before, we've got double-digit growth in Tempur, double-digit growth in Sealy. And we're doing well in wholesale, and we're doing well in direct. You had some other questions.
Bhaskar Rao: Sure, that's, that's that that is a fair way to think about it Scott. Just reiterating some of those. Yes, underlying business both Tempur and Sealy very strong. Mattress Firm originally had contemplated four models. Now we see a bit of channel fill happening or back stock happening in the fourth quarter. And then we did call out that, so those are the tailwinds that we're seeing. And then from a headwind standpoint is that we do have international, and then some variable compensation.
Operator: Thank you. Our next question is from Bobby Griffin from Raymond James. Your line is now open.
Bobby Griffin: Good morning, everybody. I appreciate you taking my questions, and congrats on good third quarter.
Scott Thompson: Thank you.
Bobby Griffin: So my first question is just around North America gross margin pretty, pretty impressive performance in the quarter especially with light of the Big Lots rollout. Can you maybe just unpack a little bit of the drivers about what surprised you versus your original expectations? What drove the upside? And then how should we frame gross margin in the fourth quarter given the Mattress rollout and some more selling in a big launch?
Scott Thompson: Great question. So if I deal with the third quarter initially is, from the upside standpoint as the volumes came in, both on Tempur and Sealy ahead of our expectations. So when we do get more units going through each of those plants, we do leverage our fixed costs and we get more productive etcetera. So that would be the primary driver. As we mentioned is that, we continue to see product mix favorability, pricing, we continue to see commodities were in line with our expectations, and then that was offset by the investment that we made to ensure good customer service.As I think about the fourth quarter, if I put it all together, the way I think about it, is those trends that we saw in the third, they should continue. Just unpacking that though a bit, is we do have as Mattress Firm four models were going in. Those will come at a discounted rate. We did also call out the fact that we will have some commodities favorability, a few million versus where we were previously thinking about, and good call out Bobby is that, we will have the big -- big lots coming in which will be at a lower margin. But if you put all that together, what you'll see is consistent with the third quarter.
Bhaskar Rao: You probably also, because I know we talked about earlier, this is Bhaskar. It's probably one of the toughest quarters to estimate the gross margin because you've got so many moving parts and a lot of that has to do with also the product mix that we don't have good numbers yet on product mix for Mattress Firm, and we're still working through exactly how big lots works through the system. So it is -- it's a difficult estimate, but well done.
Operator: Thank you. Our next question is from William Reuter from Bank of America. Your line is now open.
William Reuter: Hi. I just had a question are around the turnaround of Sleep Outfitters, it sounds like that's doing better. I guess, is your plan there to ultimately sell that business and I guess, so what would you do with the proceeds or do you want to continue to operate it yourself.
Scott Thompson: Yes. First of all you're right. The turnaround at a Sleep Outfitters has gone better than we originally estimated. In fact, they are approximately breakeven in the third quarter. Our strategy with that particular entity has not changed, which was we're going to turn it around, look at the operations, and then figure out what the long term plan is for the company. We -- we may keep it. You know we may do something else with it, but right now the most important thing is to get it turned around and the team over there is doing a great job.
Operator: Thank you. Our next question is from Brad Thomas from KeyBanc Capital Markets. Your line is now open.
Brad Thomas: Thanks. Good morning. Let me add my congratulations as well here on some nice trends. I wanted to ask about the outlook for North America. Maybe squeeze two pieces into my question, hoping we could address the outlook for North America for 4Q, obviously a more – comparison by the same token Mattress Firm obviously holds the potential to be a pretty significant driver of sales.So just how you're thinking about the outlook for North America and sort of the underlying trends in the industry ex some of these new partners if you could. And then if you step back, as we think about 2020, 2021. Scott, just maybe your latest thoughts on what the North America business should be growing at some of these big account wins?
Scott Thompson: Yes. I'll try to unpack some of that. I'm sure, I'll mess it up, and then let Bhaskar clean it up. I think, I think first of all, I tried to say it in the prepared remarks. The -- you know not exclude the new distribution wins, because that's actually the part of business that I'm watching. The fundamentals X the new distribution are very strong, and we would expect them to continue to be strong in the fourth quarter, and would expect them certainly to be positive next year.And I think that was kind of the first part of your question. As it relates to Mattress Firm, we're not going to do individual revenue guidance by customer we'll have a lot of comments on individual customers out of respect for private companies. Other than agree to you, look they are very large, and their performance will impact our performance.Right now, our team is just focused 100% on providing products forum and quality service. And I think over the next few quarters, we'll learn what the right product mix is in volume mix is, and it will blend into our numbers. But right now, we're just in the very early stages.As it relates to 2020, as I've said before, based on everything we see today, and what we know today, we would expect 2020 to clearly be the best financial performance in the company's history. We've got a lot of good tailwinds, whether it be new distribution, whether it be commodities, whether it be the performance of our direct. Quite frankly, our international team is dealing with some interesting market and doing very well. We just have a lot of momentum right now.
Operator: Thank you. Our next question comes from Laura Champine from Loop Capital. Your line is now open.
Laura Champine: Thanks for taking my question. On the Mattress Firm transition, which is moving ahead faster than, than we and it sounds like you would have expected. What's driving that? How are you getting that business up in running faster than you had previously anticipated?
Scott Thompson: The Mattress Firm team is driving that. You know when it comes to launching product, obviously we've got to make the product, but who has the heavy lift is actually the retailer. And the Mattress team -- Mattress Firm team is performing very well. And quite frankly they've exceeded our expectations. And that's resulted in the timing of the products moving up some.
Operator: Thank you. Our next question is from Karru Martinson from Jefferies. Your line is now open.
Karru Martinson: Good morning. I realize that this doesn't really affect you guys on the high end, but what has been the impact on China imports with the anti-dumping duties in place. Are you seeing prices rising across the board?
Scott Thompson: Yes, it does affect -- it affects us. Although it's not a major driver to profitability. If you look at entry level pricing beds, the entry level, that pricing is up and continues to feel like it's firming up at the very low end, and that does help us at the low end, Sealy. If -- if I unpack the products by price band, and exclude new distribution, then we are -- we are feeling growth at Sealy below a thousand dollars, which we were before the tariffs. That was a pressure point for us.So we are we are gaining some volume. I think and it has to do with the tariffs. And as I said in my prepared remarks, I think all U.S. bedding manufacturers have been benefited some. But again, it's not a big profit driver fourth down at that price point.
Bhaskar Rao: The other side of that is we do have some of our product that comes in from overseas, which is subject to tariff. So you take that headwind against the tailwind that we get from the income from below a thousand, and I would think about it as a net neutral.
Operator: Thank you. [Operator Instructions] Our next question is from Curtis Nagle from Bank of America. Your line is now open.
Curtis Nagle: Good morning. Thanks for taking my question. Maybe a quick one on how feedback has been on the active Breeze? And I guess what's your expectation to roll that out to other distributors besides your own stores going forward?
Scott Thompson: Okay. Thank you. Obviously we got -- we've got two major product lines; passive Breeze which is distributed to all retailers. And then we've got an active Breeze product that is in limited distribution now only to our stores. Look, the sales have been good. The customer acceptance of the product has been outstanding, and we're continuing to study the product and we'll consider rolling it out more broadly in the future.But right now, that looks like a winning product from everything we see right now it’s kind of in test market.
Operator: Thank you. Our next question is from Peter Keith from Piper Jaffray. Your line is now open.
BobbyFriedner: Hey good morning guys its Bobby Friedner on for Peter. Thanks for taking my question. Nice results. As about the direct business seems to be accelerating nicely, can you just give a little more color in terms of how much of that growth actually has come from new stores versus online. And then, related what's the balance between higher transactions and higher ASP Tempur mix continues to improve with more Breeze sales?
Scott Thompson: Okay. Let me work on some of that. The stores themselves, I think the first number that I think, I would, I would point you towards is as we mentioned in the prepared call, same-store sales. Stores opened more than a year were up 20% which is an outstanding performance and continues to confirm that concept has some legs. Without Sleep Outfitters, the business grew in excess of 30%, if I remember correctly. And the web itself grew double-digits. So, the direct business, broad based growth in the stores in the web business. On Sleep Outfitters, its’ sales, we’re less focused on the actual dollars on Sleep Outfitters sales, and more on driving profitability.So we will not want monitoring those as much on the same store sales, but the direct businesses is doing very well, and we continue to be very bullish on call it a 125 stores to 150 stores business model, ultimately.
Operator: Thank you. Our next question is from John Baugh from Stifel. Your line is now open.
John Baugh: Thanks and congratulations. I'm just curious if you could comment around the advertising spend or marketing spend in 2020. Is that a record in terms of percentage as well as gross? And I think you were targeting the Stearns & Foster as well as Tempur brands. But the comment internationally as to what you may be doing with marketing in light of weak conditions? Thank you.
Scott Thompson: It’s definitely going to be a record in gross dollars. I probably have to do some homework on percentages, because I'd have to go back to the early Tempur days. And I don't know that off the top of my head, but on a gross dollar basis, it will be up significantly. We do expect some more support into the Sealy and primarily the Stearns & Foster brand, than we’ve brand and we've done historically. And then on an international basis, it really varies by market. There'll be some markets that we'll be leaning into heavily like, Japan. And there may be some other markets where you're a little more conservative. But it really varies by market.I think the key point is that you know we paused a little bit on advertising as we work through the – the disruption we had with the change in Mattress Firm until we were a little bit conservative. And I think that the message for you today is that we're back on with our foot on the accelerator and expect to increase the Tempur-Pedic and Stearns & Foster and Sealy share voice throughout all markets.
Operator: Thank you. Our next question is from Carla Casella from JPMorgan. Your line is now open.
Carla Casella: Hi, I'm just wondering on the competitive front if you're seeing any change in either type of competition or online discounting, given all of the news and transitions at Casper? And I’m also wondering where that line crosses over, where you cross over most directly with Casper, and is that changing?
Scott Thompson: Yes. And pardon me if you hear some background noise. We’re kind of in the middle of a thunderstorm here in Lexington, so there's a little bit of thunderstorm coming through. You know first of all, let me point out that when we look at customer acquisition costs, our customer acquisition cost went down again this quarter. So that's either the efficiency of our advertising or a less competitive marketplace online. I'm not sure which it is, but again, we saw acquisition costs going down.Casper is really not a very big player in the marketplace. And so we don't really feel them anywhere. Obviously, we've bumped into him a little bit online, and they've got a few stores but they're relatively immaterial to our business. Our primary competitor is Serta Simmons in North America. And we see them everywhere we go.
Operator: Thank you. Our next question is from Bob Drbul from Guggenheim. Your line is now open.
Bob Drbul: Hi guys. Good morning. Just wondering as you roll out more stores, I think you used to give us a metric or you are given it at one point, just the productivity and profitability of your stores versus wholesale accounts like 30 wholesale accounts for one year. Could you give us an update on how that's trending for you?
Bhaskar Rao: Yes, I haven't run the number lately, but I remembered about 20 to one off the top of my head.
Scott Thompson: We're going to be in that range.
Bhaskar Rao: It’s probably better than that now.
Scott Thompson: Because the stores have outperformed from the time when we were kind of steady in it that way. More importantly, than the individual store economics, what we're watching closely is when we put a store to in the marketplace, what the whole marketplace is doing. And where we put stores and these are couple of stores in large cities, we are seeing that we're not taking business from our wholesalers, but in fact the wholesalers are at least doing as well or doing better than they were doing before we opened the stores.So we think we're raising the whole market, when we're just putting a couple of stores in the marketplace and these really are somewhat marketing assets and help drive the brand in the marketplace.
Operator: Thank you. Our next question is from Judy Merrick from SunTrust. Your line is now open.
Judy Merrick: Thanks. This is Judy in for Keith Hughes. Just quickly on international, you talked about all the top line environmental challenges going on different regions there. Is there anything else that you had to kind of flattish margins? Is there anything else going on with the margins or anything you can add on that?
Scott Thompson: No, I can’t think any of the margins.
Bhaskar Rao: No from a margin standpoint they're relatively stable. The big driver when you think about international is, is you do see some country mix from time to time, but when I think about international, broadly speaking is that there does remain an opportunity out there specifically in Asia Pacific whether that be through our own subsidiary or working through our Asian JV, but there are certain economies right now they're challenged, whether it be Hong Kong or what's happening from a Brexit standpoint?
Operator: Thank you. At this time, I'm showing no further questions. I would like to turn the call back over to Scott Thompson for closing remarks.
Scott Thompson: Thank you. To the over 6000 employees worldwide. Thank you for what you do every day to make the company successful. To our retail partners, thank you for your outstanding representation of our brands. To our shareholders and lenders, thank you for your confidence in Tempur Sealy’s leadership team and its board of directors. This ends the call for today. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.